Matt Glover: Good afternoon and welcome to Aware's Fourth Quarter and Full Year 2020 Earnings Conference Call. Joining us today is the company's CEO and President, Bob Eckel; and CFO, David Barcelo. Following their remarks, we will open the call for questions. If you’d like to submit a question, you can do so at any time using the built-in ask a question feature in the webcast player. Before we begin today's call, I would like to remind everyone that the presentation today contains forward-looking statements that are based on the current expectations of Aware's management and involve inherent risks and uncertainties that could cause actual results to differ materially from those described. Listeners should please take note of the Safe Harbor paragraph that is included at the end of today's press release. This paragraph emphasizes the major uncertainties and risks inherent in forward-looking statements that management will be making today. Aware wishes to caution you that there are factors that could cause actual results to differ materially from the results indicated by such statements. These risks and uncertainties are also outlined in the company's SEC filings, including its Annual Report on Form 10-K and quarterly reports on Form 10-Q. Any forward-looking statements should be considered in light of these factors. You are cautioned not to place undue reliance upon any forward-looking statements which speak only as of today. Although, it may voluntarily do so from time to time, Aware undertakes no commitment to update or revise the forward-looking statements, whether as a result of new information, future events or otherwise, except as required by applicable securities laws. I would like to remind everyone that this presentation will be recorded and made available for replay via a link available in the Investor Relations section of the company's website. Now, I'd like to turn the call over to Aware's CEO and President, Bob Eckel. Bob? 
Bob Eckel: Thanks for the introduction, Matt. Good afternoon, everyone, and thank you for joining us today. After the market closed, we issued a press release announcing our results for the fourth quarter and full year ending December 31, 2020. A copy of the press release is available in the Investor Relations section of our website. As many of you know, this is our first earnings call as the new Aware. We are thankful for the opportunity to share what we've been up to for the past year. We're also excited to share with you our new strategy to accelerate growth and rapidly scale. In the future, we expect to enhance our investor engagement initiatives by hosting quarterly earnings calls, participating in financial conferences and having a more frequent conversation with our investors and analysts. On this call, I'll provide you with a high-level overview of this quarter's operational results; turn it over to our CFO, David Barcelo, to review our financial results for the quarter and the full year. And lastly, I'll take some time to share what we've been up to and where we're going. And after that, we'll open the call for questions. This quarter we generated our second consecutive quarter of revenue growth, as well as a 40% year-over-year quarter increase in revenue. This was driven by our nearly doubling of our overall pipeline and a quintupling the size of our subscription revenue. Equally important, we ended the year by completing our first acquisition. I'll touch on our acquisition of Maxar's AFIX product suite in more detail a bit later, but the transaction was immediately accretive and providing us with a strategic IP portfolio that enables us to expand and serve a diverse set of customers. Even with these accomplishments, we are not immune to the pandemic-related headwinds that so many of us have faced during this time. Thankfully, we took a thoughtful and proactive approach to prioritize the health and safety of all of our stakeholders, as well as the long-term viability of our business. Though, the ongoing COVID-19 pandemic has hindered and changed our sales tactics, we continue to make headway, expanding Aware's market presence through industry partners and our direct sales team. Furthermore, the pandemic has helped bring to light several growth catalysts that we believe bode well for our business. Commercial enterprises of all sizes are finding value in biometric technologies, as everyone transforms their daily interactions, adopting touchless infrastructure and performing remote verifications. Given that software is expected to be the fastest-growing market for biometric systems, we stand well positioned to benefit from these trends. Now, I'll turn it over to Dave Barcelo, who will walk us through our financial results for both the quarter and the year. Dave, over to you. 
David Barcelo: Thank you, Bob. Good afternoon to everyone on the call. All right. Now, let us turn to our financial results for the fourth quarter and full year ended December 31, 2020. Our total revenue in the fourth quarter increased 40% to $3.4 million from $2.5 million in Q4 of last year. Sequentially, revenue increased 38%, up from $2.5 million in the prior quarter. Both the sequential and year-over-year increases were primarily due to higher software license and subscription revenues. For the full year 2020 our total revenue decreased 7%, to $11.3 million from $12.2 million in 2019. The year-over-year decrease in revenue was primarily due to lower services revenue related to a multi-year international project signed with a systems integrator in the second quarter of 2018, which was partially offset by higher subscription revenue. Turning to our operating expenses. For the fourth quarter of 2020, our operating expenses increased 26% to $5.3 million from $4.2 million in Q4 of last year. For the full year 2020, our operating expenses increased 27% to $20.7 million from $16.4 million in 2019. The quarterly and annual increase was primarily due to an investment in sales and engineering resources as we scale to execute on our growth strategy. The annual increase also includes $1.2 million of nonrecurring expenses including in the first half of 2020 related to severance payments, recruiting fees and COVID-19-related charges. The corresponding operating loss for the fourth quarter of 2020 was $1.9 million compared to an operating loss of $1.7 million in the same year ago period. The year-over-year increase in operating loss resulted primarily from higher total costs. For the full year 2020, our operating loss was $9.4 million compared to $4.2 million the year before. The annual increase in operating loss was primarily the result of lower revenue as well as higher total costs and expenses in 2020. For the full year 2020, GAAP net loss totaled $7.6 million or $0.35 per share compared to a GAAP net loss of $8.3 million or $0.39 per share in 2019. On the balance sheet we had $38.6 million in cash and cash equivalents at the end of the quarter compared to $42.3 million at the end of the prior quarter and $47.7 million on December 31 2019. Throughout the year, we invested $2.9 million to acquire Maxar's AFIX product suite and other capital purchases $0.9 million to buy 298,000 shares in our share buyback program, and we used $5.3 million in the course of operations. Aware maintains a strong and strategic cash position that enables us to allocate capital to high-ROI opportunities as they present themselves. We're actively continuing to evaluate opportunities to ensure that we are making strategic investments to realize growth and scale as an organization. Organically, we've seen significant growth from our Knomi subscription accounts. We surpassed five million transactions in the fourth quarter alone and over 11 million for the year. The growing volumes attest to the strength and scalability of this product line and the success is paving the way for future growth as new customers onboard based on the recommendations of our current customer base. This completes my financial summary. Now, I'd like to turn the call back to Bob for additional insights on our operational progress in Q4, key initiatives and priorities in 2021 and beyond. Bob?
Bob Eckel: Thanks Dave for reviewing our company's financials. Prior to joining the Aware team as a CEO just over a year ago, I worked strategically with the Aware's management team as a consultant. At that time, the company had a reputation as the biometric middleware go-to partner for some of the world's most renowned government agencies. I saw a great deal of potential upside and scale in the company and reputation focusing on the product offerings and growing the commercial customer base directly and through channel partners. I've dedicated my early tenure to enhancing Aware's market profile and addressing these opportunities along with building our team. For those of you that are new to the story, I would like to take a little bit of time to explain why Aware's excellent reputation is warranted. Simply put, Aware is built on a 30-year plus foundation of success and trusted by over 100 commercial leaders, 80 of the world's most premier government agencies, 20 industry partners and 20 countries. This trust comes from our expertise in liveness spoofing prevention and the implementation of customer-managed and integration-ready, multimodal biometric and middleware solutions and systems, all of which are proven through our robust installations and customer success. Our robust integration is what distinguishes us from others in the biometric space. Historically, we've relied on SDKs and toolkits to provide customers with the functionality they need. At a high level, these products enable customers to enroll, identify authenticate and manage identity data and transactions with frictionless and/or touchless access and professional-grade security. Now more than ever, there's a growing need for this biometric functionality in both the government and commercial sectors. With the rise in complexity combined with growth in remote access requirements and access to advanced technologies, enterprises open themselves up to identity fraud and imposter scams. These result in billions of dollars of loss each year. The convergence of market readiness and the technological capability prompted us to prepare the company for a strategic transformation. We certainly didn't anticipate a global pandemic and macroeconomic downturn this year. But it nonetheless accelerated the massive transformation not just for our business but for the global community at large. Though much is still uncertain at the moment, we do know that some things are here to stay. At a very early stage we recognized some of the lasting effects of the virus and took swift action to adapt our technologies accordingly. Last year we released an updated version of our facial recognition offering Knomi. The new version intelligently deciphers between mask and unmasked images without sacrificing speed or usability in the process. Many of the fundamental changes in how we work and interact with each other aren't going away anytime soon. These changes bode well for the wider market. Industry analysts estimate that Aware's addressable market will grow from $11 billion in 2020 to $20 billion in 2025. The growth is primarily driven by the increased adoption of biometric technology in enterprises and increased demand for touchless systems. We still expect to see significant growth on the government side with respect to applications in border management, civil service and law enforcement, which we hope to continue capturing as a leader in the government space. On the commercial side, we expect to see the most rapid growth in banking, payment services and retail. Yet there still is emerging opportunities in new verticals that we hope to penetrate as well. While much of the world and us included are focused on keeping everyone safe and healthy, we have also used this time to implement strategic improvements in nearly every area of our business. These improvements have centered around a multipronged transformation for growth that has guided our executive and operational choices throughout last year. First, we have transformed and added capabilities to our platforms to create focused offerings to serve the evolving needs of our government and commercial customers. As I mentioned earlier we have historically relied on SDK building blocks to meet the unique needs of customers. More recently we've established platform and framework offerings that provide customers with more capabilities and complete offerings that can be integrated faster, better and more flexibly in customer environments. We have chosen to address customers' needs such as liveness and matching, biometric Software as a Service, biometric middleware and biometric identification systems. I'd like to touch briefly on each of these offerings in the next few minutes. Knomi is our premier mobile authentication software, which enables unproctored document verification along with face and voice matching and liveness detection, meaning that it can verify whether the user is a live human being or if the registration system is being subjected to presentation attack. Knomi is recognized as one of the industry's leading liveness detection software passing independent and rigorous testing in both levels one and two of iBeta's Presentation Attack Detection conformity evaluation. These rigorous tests assess the software's ability to distinguish between real, valid users and sophisticated attacks using artifacts like latex mask, 3D-printed face molds and many other attack vectors. Knomi has applications in nearly every vertical from authenticating offenders in prisons and managing parolees to verifying banking transactions for retail customers and more importantly Knomi is designed to optimally balance between security and convenience. Designed specifically with low friction, it enables users to use their own devices and perform identity proofing transactions without special training in the convenience of their own home. As such Knomi is ideal for managing mobile digital on-boarding safely and conveniently. Indigo is Aware's cloud-based biometric offering, which is provisioned as an application programming interface or commonly known as APIs for turnkey services each provided as a subscription based Software as a Service or API as a Service. Indigo provides biometric face and voice liveness analysis with document validation support and face and voice and fingerprint image analysis, matching and enrollment functionality. All the granular services are provided to enhance identity systems with biometric functionality. Indigo cloud-based offerings deliver biometric capabilities accessible from a browser or a smartphone or tablet on a subscription basis. Indigo is provided as a subscription based offering is available as an enterprise based, user based or transaction based model. Going forward, Indigo will be transitioned into a wider SaaS offering. Our industry leading middleware offering is BioSP also known as Biometric Service Platform. It's a modular open platform used to enable biometric systems with advanced biometric data processing and management functionality in a web services architecture. It provides workflow, data management and formatting and other important utilities for large-scale biometric systems. Additionally Aware offers a complete family of Automated Biometric Identification System or commonly known as ABIS products for any size civil or law enforcement community. From small customized solutions to large enterprise implementation, Aware's ABIS offerings are aligned to virtually any customer need. For large-scale biometric identification, AwareABIS is designed to serve between one and 30 million identities or more. And its modular architecture helps security teams configure and optimize the system for civil or criminal applications. For small scale biometric identification AFIX Tracker is designed to serve between 15,000 and two million identities and is ideal for crime scene investigation applications in low-to-moderate sized community populations. For plug-in biometric identification Aware's Astra provides the speed and accuracy of AwareABIS as a plug-in for existing business processes and workflows. These transformed offerings, which are still as customer controlled managed configurable and integration ready as our legacy SDKs were deliver a robust proven set of solutions that more, clearly articulate the biometric applications that Aware can offer. The second component of our transformational offerings strategy is the shift towards Biometric Identity Management as a Service. SaaS offerings, which provide customer-configurable usage-based use-what-you-need and buy-what-you-need services. We expect these offerings to drive sustained growth across multiple verticals. In transitioning towards SaaS offerings, we believe that we'll produce recurring revenue that grows as our customers grow. In the past, we have operated on a business model governed by perpetual license maintenance and service revenues. This model has resulted in less predictable revenues that fluctuate and are not consistently repeatable quarter-over-quarter or year-over-year. With a subscription or renewing term SaaS model we expect to receive recurring revenue commensurate with a particular customer's usage or transaction level. This enables a more consistent stream of revenue. It also allows smaller players and new entrants who may have historically felt foot off or left out by committing to a perpetual license to join the game at their own pace. The final part of our transformation is to expand our pipeline increase our market share by leveraging strategic industry partners. In these partnerships, we provide our software to OEMs, value-added resellers and integrated resellers. They in turn find innovative ways to integrate our products with their hardware or solution and bring them to market at a rapid pace without needing to invest in biometrics or the expertise in biometrics technology. Simply put, these white labeling scenarios with our partners are integral in demonstrating the superiority of Aware brand in winning new customers. In addition to helping us scale in the existing verticals we serve, our partners allow us to penetrate new growth in emerging markets. Even though our primary focus remains in government financial services payment processing and retail, we recognize the growing list of applications that can benefit from biometric applications. These include data and network security, personal security, consumer services, health care and the shared economy. As a result of our 2020 efforts securing partners, we entered 2021 with a robust pipeline of opportunities. Engaging partners not only helps us expand market share in existing growth markets but also helps us penetrate emerging markets, which are becoming larger and larger components of the total addressable market. Our transformation is far from complete, but it is in full swing. We are cautiously optimistic that we've taken the measurable and necessary steps to rapidly scale the business and ultimately drive value for our shareholders. Our acquisition of Maxar's AFIX product suite is a fundamental building block of our growth strategy. The acquisition provides technology to complement our newly launched AwareABIS and most importantly access to over 180 active law enforcement customers to augment our new product line. Most importantly, the shared expertise and cultural fit between the teams bodes well for our future success. We continue to assess and evaluate other strategic opportunities that will contribute to and help expedite our growth strategy. Along with our achievements and the foundation we've built in 2020 we must recognize our decline in sales. We are not immune to the impacts of the pandemic. However, as evidenced by our strong quarterly growth exiting the year, we believe the pandemic primarily delayed major projects and award in our market and that we did not lose expected business. As such, we balance our investments in growth with cost containment strategies including forgoing pay increases for 2021. Pandemic uncertainties aside, with this preparation and foundation we head into the New Year well positioned. We've made good progress in our ongoing business transformation through our streamlined offerings transition to SaaS and usage-based subscriptions and expansion of our pipeline. Before I finish, I'd like to express my thanks to the entire Aware family and team, who I believe are some of the most knowledgeable interactive and agile biometric experts out there. With their support we become a leader in applying biometrics to add value reduce friction and increase security in bringing biometrics to life. And with that, we're ready to open the call for questions. Matt please provide the appropriate instructions.
A - Matt Glover: Thank you, Bob. [Operator Instructions] Our first question is the combination of AFIX with AwareABIS and Aware's Astra enables quick turnkey deployments for customized solutions to keep communities safe no matter their size. Please define the transaction in terms of personnel, sales, and revenue, and cost of acquisition? Are there current examples of the scope of business opportunities resulting post acquisition? Bob?
Bob Eckel: Thanks Matt. Thanks for the question. The global law enforcement software market is over $10 billion and the acquisition of AFIX provides Aware with a strong customer base and it gives us over 180 agencies to grow our market share and sell both AFIX and the AwareABIS products. So, we feel by combining the two product families and leveraging the expertise of the seven members of the AFIX team, Aware will be able to serve the ABIS needs both large and small law enforcement agencies and an addressable market estimated at about $200 million.
Matt Glover: Thanks Bob. Our next question. Please differentiate the AFIX combination with Aware's press release from January 26, 2021 wherein Aware states with launch of AwareABIS Aware offers a modular ABIS product designed for civil and criminal applications.
Bob Eckel: The acquisition of AFIX targeted ABIS applications for smaller scale law enforcement agencies. Think of it in terms of like 15,000 to 2 million subjects where the AwareABIS product introduced in January 26 press release is designed for larger-scale law enforcement agencies from about 1 to 30 million subjects or more and also applications in civil identity and national security. We know there's some overlap but each product set is designed with a different philosophy and target customer base in mind. Aware is now the only company that can effectively address and support deployments to all segments of the global ABIS market from small to medium to large and even very large.
Matt Glover: Thanks Bob. Our next question why can't Aware offer its ABIS software to California and the other 49 states at no cost and charge a monthly fee for every employee? So, if Aware could charge $0.60 to $1 per month per employee to prevent unemployment fraud, it would save the State of California billions of dollars and would generate millions for Aware. If Aware could encrypt in biometric data -- or the biometric data of the employees in the system and for the employees filing unemployment claims it would eliminate any objection from parties arguing their civil rights had been violated. 
Bob Eckel: Well, the company is actively pursuing all high-value opportunities to scale the business. But we also recognize that there are regulatory challenges associated with establishing new government-use applications. However, that being said, one of our objectives is to establish prime integrator partners and we've talked about some of the partners and what we're doing in the release and in just the call a few moments ago where we provide the technology for them to pursue and to use these in large government opportunities. There's a lot of opportunities. There's a lot of proposal and extra work that goes into it and we feel that the prime integrators are better positioned but we have the technology that will support these initiatives.
Matt Glover: Thanks Bob. Aware has a blockchain patent issued in 2020? Is Aware making any marketing efforts in the blockchain sector to advantage of the patent -- to take advantage of the patent excuse me?
Bob Eckel: At any given time, we're actively evaluating multiple innovations and market verticals where we can apply and use biometric technology. So, that's why I spent time and we have built over the years prior to me a team with some of the best and brightest biometric research and applied engineering talent out there. And so when innovation rises to this level of unique differentiation, it causes us to believe we can be a leader in the technology or the application then we go and we file a patent. We have an active patent program here. From there, it's commonplace not to disclose any of the progress on our technical advances and the market offerings until we bring them to market. So, yes, we still have the patenting question, but I'm unable to discuss the current activities that may leverage that specific piece of IP.
Matt Glover: Thanks Bob. Our next question is LifeLock is a billion dollar company direct to the public protecting people's identities. In addition to Aware marketing to business and governments, Aware should consider offering biometric identity protection to the public could call this Awareness and offer at a lower price than LifeLock. Company could then use this customer base to market to banks retailers, credit card companies, et cetera.
Bob Eckel: So, I'm just trying to think of -- I kind of answered some of the question. We're actively pursuing these high-value opportunities to scale our business. And as you know our current focus is on government and business commercial sectors. However, we're monitoring and we're evaluating some of these other opportunities but we're also weighing the challenges associated with establishing new applications direct-to-consumer. So it's very different than B2G and B2B. But we are committed to our transformational growth strategy and to providing shareholder value, regardless of the specific market segment. So I do like the question. And obviously, we'll look at that. We just want to understand the risks and the – versus opportunities.
Matt Glover: Thanks, Bob. The next question. The last time the company had a conference call was in 2014. At that point the company said, they were going to split into two, one company handling all of its patents and related licensing. What has become of this?
Bob Eckel: Well, while it's difficult to know the details of the initiatives that you're referring to, it predates me and most of the current executive team. We do have a strong IP portfolio and we're committed to leveraging our IP, as we work to accomplishing the goals and the transformation we set forward in the call. So I don't have any further discussion around splitting things into two or any of that at this time.
Matt Glover: Our next question. Can you explain the recent activity around Aware's stock over the last couple of days, specifically with respect to volume?
Bob Eckel: We're unable to understand why there's been an increase in stock price and trading volume over the past few days. And I just don't want to speculate at all.
Matt Glover: Thanks, Bob. Our next question. You mentioned taking measurable and necessary steps in relation to rapidly scaling the business and driving value for shareholders. Can you elaborate on this and/or provide examples of such steps?
Bob Eckel: Yes. As I stated earlier, we took the necessary steps to invest in management and the team, management systems. Some of the systems that I inherited were over a decade old. Adopt new standard processes to aid in speed and scalability. We converted to agile, development methodologies. We've added a program office to embrace larger programs and delivery more efficiently and faster and then provide quicker responses back to our customer on our standard value products and programs. Also we're investing in our employees and growing our front-end of the business and the staffing levels as we plan. So right now we're staffed at a level that we anticipate we are at the right level. We're always looking for a couple good people relative to business development and sales, engineering and research, but I believe we're at the right level to grow what we need to.
Matt Glover: Next question. This one is for you Dave. You mentioned 5 million Knomi transactions in the quarter. How do you recognize revenue from those transactions? And where is it in the income statement?
David Barcelo: Yes. Thanks Matt. Yes. So the 5 million Knomi transactions are part of – just in general we're disclosing more and more information on our subscription revenue in our earnings announcement. But our financial statements we disclose revenue there based on materiality and we continue evaluating that regularly with our adviser. So right now the subscription revenue that relates to those transactions all sit within our licensing revenue segment.
Matt Glover: Thanks, Dave. Sticking with you here for a minute. Can you elaborate on the dynamics for consumption-based SaaS revenues? Are you charging customers on a per transaction basis? And how are customers charge for their use of the platform?
David Barcelo: Yes. So it's per transaction and per user. For example our Knomi offering, we allow customers to consume both per user and per transaction basis in addition to what was previously offered which was the more standard enterprise license. So this business model then has some tiered pricing. Customers choose various volume tiers of either the transactions for the users and then they consume that throughout the year and we reset the counter on each anniversary.
Matt Glover: Thanks, Dave. What are your capital allocation priorities? How do you determine whether an investment has a sufficient return?
David Barcelo: Yes. We're fortunate to have a nice strong balance sheet here, particularly our cash balance. And so now that we've completed our first phase of investments that Bob talked about and we've positioned the company to scale and grow, we now look to invest in our long-term growth opportunities, things that are more aligned with our long-term growth strategy. Bob spent some time there outlining on the call what our growth strategy is. So therefore investments will align with that and we'll judge ROI-based off of how well it aligns to our strategy. So for instance building on our biometric expertise with our focused offerings, transforming to SaaS to address some of the consumption-based customers and then of course breaking into adjacent markets.
Matt Glover: Thanks, Dave. Bob this one's for you. Will you be providing quarterly or shorter-term guidance?
Bob Eckel: Well, I think everybody that's been with Aware or looking to invest with Aware, our objective is long-term growth. So growing the top line, taking advantage of the growth in the biometrics market. We don't plan to currently issue quarterly or yearly guidance. However, we're going to keep our investors apprised of our transformational progress and through our retained Investor Relations, which we have with Matt here and team at Gateway and these quarterly conference calls.
Matt Glover: Thanks, Bob. As someone else pointed out, the last time the company had a quarterly conference call was in 2014. Why did you decide to start doing these again now? Is there any significance behind the timing?
Bob Eckel: As I mentioned earlier, I joined Aware as the CEO just over a year ago and have dedicated my early tenure to enhance Aware's market profile and address the opportunities that are presented to it, along with building a team. So I spent a lot of time doing that. Part of the enhancement to our market profile was the introduction of a formalized Investor Relations program with the support of Gateway, thank you Matt and team, as we shared in our September 28, 2020 press release. So in that release, we shared together -- shared that together, we're going to be focusing on developing and deploying comprehensive outreach communications program, engagement that we just started launching in late September with Gateway. I felt and Gateway felt this is the -- really, the first opportunity for quarterly earnings call. Other than that, timing alignment, there's no significance behind starting the calls now, but we do look forward to maintaining the quarterly cadence in the future. 
Matt Glover: Thanks, Bob. How do you see yourselves competing or working with larger corporations like Apple and Amazon, who are getting more involved with biometric hardware and software?
Bob Eckel: Well, we see companies like Apple and Amazon serving different needs in the market. We focus on liveness and complex workflows, optimize between security and low friction. Additionally, we're not limited to authentication. We've got a portfolio of biometric assets that play together to serve the entire biometrics value chain. That includes authentication and proofing and verification and identification, for both civil and criminal applications. Our understanding is that's not the focus of the Apples and the Amazons of the world.
Matt Glover: Thanks, Bob. Can you shed some more light on when we'll see the transformation pick up speed? What are some indicators that we've been through the bulk of the transformation? Should we expect to be seeing subscription revenue overtake license revenue in a few quarters, a few years?
Bob Eckel: Well, while we've been aggressively pursuing our subscription revenue and building a backlog of recurring revenue. Again, I'll say, our objective is long-term growth, growing the top line, taking advantage of the growth in the biometrics market. And -- so, as such, we're not prescriptive about the mix of the revenue lines. I mentioned, we started and set up a program office to address programs and projects that add value to bigger customers. So -- but to keep our investors apprised of the transformation, we've highlighted the growth in a number of subscription transactions that Dave just talked about and we'll continue to do so, as we continue transforming, to make you aware of the adoption rates, the best we can and what we're seeing out there.
Matt Glover: Thanks, Bob. Our next question. I'm wondering what your team thinks about the impact of associated processing units, or APUs, on the facial recognition market? Does this hardware increase the TAM by making it easier to do facial recognition queries at scale?
Bob Eckel: Well, the simple answer is, no. While there may be a positive correlation between the total addressable market and increased use of APUs in handling facial recognition queries. We don't believe this to be a casual relationship. In other words, there are relatively few applications that would require hardware acceleration that the APUs would provide. In a worst case, we've assessed our customers' need and determined that hardware acceleration is not necessarily to best serve them at this time. I mean, we've got high-speed systems for liveness and matching and the others. And depending on the use cases, it's been good. We're always working on speed, of course. But remember, a lot of it's become moved out to the edge devices and we're very cognizant of that. But as all technological trends happen, we're continually monitoring and we're always listening to our customers, so we can implement these advancements if and when they become necessary.
Matt Glover: Thanks, Bob. At this time this concludes our question-and-answer session. We recognize there are still some questions outstanding, but we're out of time. If your question wasn't answered, please e-mail Aware's IR team at aware@gatewayir.com. I'll now turn the call back over to Bob for closing remarks. Bob?
Bob Eckel: Yes. Thank you. Thank you, Matt. And I'd like to thank everyone for joining us on today's call. We're looking forward to maintaining the quarterly call cadence. We're excited about announcing that a new investor presentation is going to be soon made available on the Investors section of our website. So we've been working on that for a while and that will give you some insight into further where we're going. And I especially want to thank our employees at Aware, all of our partners that we've been signing up and working with, of course, the investors, for your continued support and we look forward to updating you further on our next call. Matt, I'll turn it over to you.
Matt Glover: Thanks, Bob. I would like to remind everyone that a recording of today's call will be available for replay via link available in the Investors section of the company's website. Thank you for joining us today for Aware's Fourth Quarter and Full Year 2020 Earnings Conference Call. You may now disconnect.